Operator: Greetings, and welcome to the Mammoth Energy Services Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Ken Dennard. Please go ahead.
Ken Dennard: Thank you, operator, and good morning, everyone. We appreciate you joining us for the Mammoth Energy Conference Call to review 2025 second quarter results. This call is also being webcast and can be accessed through the audio link on the Events & Presentations page of the Investor Relations section at mammothenergy.com. Information reported on this call speaks only as of today, August 8, 2025. Please be advised that any time-sensitive information may no longer be accurate as of any subsequent date. I would also like to remind you that statements made in today's discussion that are not historical facts, including statements of expectations or future events or future financial performance are forward-looking statements made pursuant to the safe harbor provision of the Private Securities Litigation Reform Act of 1995. We will be making forward-looking statements as part of today's call that, by their nature, are uncertain and outside the company's control. Actual results may differ materially. Please refer to the earnings press release that was issued today for our disclosure on forward-looking statements. These factors and other risks and uncertainties are described in detail in the company's filings with the Securities and Exchange Commission. Management may also refer to non-GAAP measures, including adjusted EBITDA. The definition of this non-GAAP measure and its reconciliation to the most directly comparable GAAP financial measures can be found at the end of our earnings release. Mammoth Energy assumes no obligation to publicly update or revise any forward-looking statements. And now with that behind me, I'd like to turn the call over to Mammoth Energy's CFO, Mark Layton. Mark?
Mark Layton: Thank you, Ken, and good morning, everyone. We appreciate you taking the time to join us on the call this morning. I'll start by providing an update on our business, the current market environment and our ongoing transformation before turning the call over to our Chief Operating Officer, Bernie Lancaster, to discuss our operations in greater detail. Then I'll return and provide our second quarter financial results and touch on our outlook before opening the call up for questions. The second quarter marked the beginning of a new chapter for Mammoth. I'll go into more detail later, but revenue was $16.4 million in the second quarter, and the net loss for the quarter was $35.7 million. The net loss included a noncash impairment charge of $31.7 million. We executed several transactions during the quarter that meaningfully changed our portfolio of services and positioned us favorably for the future. As we've mentioned in the past, we take great pride in our track record of successfully growing businesses organically within our enterprise and transacting at attractive multiples at great returns, which help us generate significant value for our shareholders. This quarter was no different. We had the opportunity to complete transactions that would unlock value, make the company more resilient and establish a launch pad for future growth, and we delivered. It's safe to say that our transformation is well underway. As part of this transformation, we are focused on driving returns through improved internal execution by prioritizing asset utilization, margin expansion and capital efficiency across the portfolio. While macroeconomic uncertainty, including tariffs and demand volatility continue to affect parts of the market, we remain proactive in repositioning Mammoth to perform through cycles. In the second quarter, this included strategic divestitures that sharpened our portfolio focus alongside the accretive acquisition of leased aircraft assets that strengthened and diversified our rental services segment. We will continue to evaluate strategic opportunities both within our existing platform and in adjacent markets that can unlock value while preserving balance sheet strength. Mammoth may act as a buyer or seller or both depending on market dynamics and where we see the most attractive returns. Second quarter was a great example of this as we completed 3 transactions, 1 as a buyer and 2 as a seller. As a buyer, we purchased 8 small passenger aircraft in early April for approximately $11.5 million. These aircraft added meaningful scale and further diversified Mammoth's rental services fleet. Also, each of these planes are under leases with a commuter airline. So this purchase was immediately accretive to our financial results. In addition, we purchased 2 aircraft engines and 1 auxiliary power unit, or APU, during the second quarter. The APU is currently on lease, and we expect the 2 engines to be on lease beginning in the third quarter. A second APU was purchased at the beginning of the third quarter. In total, we have invested $25 million year-to-date to grow our aircraft portfolio. Our aviation investments this year have generated positive EBITDA from day 1, and we believe this is an area that will continue to compete for capital inside our portfolio. As a seller, our first transaction in April consisted of selling 3 infrastructure subsidiaries, 5 Star Electric, Higher Power Electrical and Python Equipment to Peak Utility Services Group for an aggregate sales price of $108.7 million. I know we touched on this transaction on our last call, but this was a monumental transaction for Mammoth and demonstrated the ability for us to repeatedly grow businesses organically within our enterprise. As a reminder, we originally purchased these businesses for less than $10 million in 2017. And over the past 8 years, we significantly grew this business and increased revenue. Our second transaction as a seller occurred in June. Two of Mammoth subsidiaries, Stingray Pressure Pumping and Mammoth Equipment Leasing, entered an agreement to sell all of the equipment used in our hydraulic fracturing business to MGB Manufacturing for proceeds of $15 million. Formerly, this equipment was included in Mammoth's well completion services segment. We view this transaction as a natural next step as we look to reposition our portfolio of services and emphasize a demand-driven approach to our operations. We are focused on building a better, more resilient company for the future, and each of these transactions were completed with this goal in mind. We view the current market as being primed with opportunity, and we intend to remain active M&A participants. To provide some context, we have evaluated and continue to evaluate several opportunities. Some of these M&A deals are verticals to businesses in our portfolio, some would expand our portfolio of services and some would expand the footprint of existing operations. We remain focused on investing in quality assets or companies at the right valuations to generate positive returns. I look forward to sharing additional positive developments with you in coming quarters. Now let me turn the call over to Bernie Lancaster, our Chief Operating Officer, to take you through our new business segments and the current state of Mammoth's operations.
Bernard Lancaster: Thanks, Mark, and thank you all for joining us this morning. It's a pleasure to speak with you for the first time in my role as COO. There is plenty to be excited about here at Mammoth, and I look forward to helping pave the way forward. As Mark mentioned, our operating segments have changed quite a bit of late with the recent transactions pertaining to our legacy infrastructure, well completions and rental services divisions. Today, our suite of services consist of 5 segments: rental services, infrastructure services, natural sand proppant services, accommodation services and drilling services. I'd like to spend a few moments discussing our new reporting segments and those that have recently experienced the greatest change. Rental services is a segment that has significantly grown through strategic investment in recent months, and we've meaningfully expanded our capabilities through the acquisition of aviation assets that Mark mentioned. Put our growth here in perspective, we grew the number of pieces of equipment rented to customers by 33% when compared to the same period a year ago. In addition to aviation, this segment also provides rental equipment used in oilfield and construction activities. We are seeing increased demand for equipment lists such as cranes for construction purposes and we expect our equipment to be utilized for its first construction work in the third quarter, which will further diversify our customer base. We see plenty of opportunities to invest in the rental services segment in the near term to both expand our current capabilities and add new attractive services that carry a robust demand profile. Turning to infrastructure services. After the sale of our transmission and distribution business in April, this segment is now comprised of 2 primary businesses: engineering and fiber. Engineering group continues to perform well, and our fiber group is picking up additional work, which is positive. We continue to see strong demand in each of these areas, driven by the significant macro tailwinds around data centers, AI and nuclear developments. In the second quarter, these businesses contributed approximately 1/3 of Mammoth's total revenue. We also maintain a robust backlog and remain excited about the prospects within the infrastructure space. Finally, I wanted to touch on our accommodation services. While our presentation of this segment and our financials is new, the services and facilities we provide have been steadily performing well behind the scenes. This segment has quietly generated favorable returns and consistently churned out positive adjusted EBITDA. Our accommodation services are primarily comprised of remote housing, kitchen and dining and recreational service facilities for workers located away from readily available lodging in Northern Alberta, Canada. We do see notable demand in this area and may deploy additional growth capital in the future. To echo Mark's comments, we take great pride in the transactions we've completed and the changes we've made to the business. We're excited about the company's future and confident in the direction we're taking. Our operations have evolved dramatically in recent months, but we are pleased with the significant value that we've unlocked and the earnings potential of the company we are building. This transformation will make Mammoth more efficient, resilient and positioned for growth. We will continue to steer the company towards the areas with the greatest demand and utilization with a prudent focus on strategic capital management. I'll now turn the call back over to Mark to discuss the financials and our outlook in more detail before we open the call up for questions.
Mark Layton: Thank you, Bernie. As a reminder, the financial results I'll be discussing today reflect the sale of our distribution, transmission and substation operations as well as the sale of our hydraulic fracturing business, both of which occurred during the second quarter. To demonstrate how we evaluate the business after these divestitures, we have reclassified these operations as discontinued operations and all financials, including prior period segment information, has been recast to conform with our segment composition as of June 30, 2025. A detailed breakdown of our results can be found in our earnings release and in our 10-Q once it is on file with the SEC. Mammoth's total revenue from continuing operations during the second quarter of 2025 came in at $16.4 million compared to $16 million in the same period a year ago. The increase in total revenue is primarily attributable to an increase in rental services, infrastructure services and natural sand proppant services revenue. In response to the uncertainty that is present in the market and the potential demand implications, we have proactively implemented various cost-cutting measures that should further support improvements in our overall financial performance in the coming quarters. Additionally, we will continue to evaluate strategic opportunities to deploy capital in ways that will be accretive and value enhancing. Additionally, our infrastructure services segment, which is now solely comprised of engineering and fiber, executed well and delivered strong results during the second quarter. Revenue for this segment was $5.4 million for the second quarter of 2025, which represents a 20% increase compared to the second quarter of 2024. We will continue to play to our strengths while continuing to strategically pursue opportunities within this sector as we focus on the areas with the greatest potential for improved returns. Our sand segment generated revenue of $5.4 million, which represents a 15% increase compared to the same quarter a year ago. Sales volumes were up in the second quarter, driven by increased utilization. However, this was partially offset by a 6% decline in pricing when compared to the second quarter of 2024. We sold approximately 242,000 tons of sand in the second quarter of 2025 at an average sales price of $21.41 per ton compared to 141,000 tons of sand at an average sales price of $22.73 per ton during the second quarter of 2024. We continue to expect incremental demand to drive improved results in the sand segment in 2025. Rental services segment generated revenue of $3.1 million, which represents a 72% increase when compared to $1.8 million in the same quarter a year ago. This increase was largely driven by the incremental revenue contribution associated with our expanded aviation rental offerings. On average, during the second quarter of 2025, we had 296 pieces of equipment rented out to customers, representing a 33% increase when compared to 223 pieces of equipment rented out to customers in the same quarter a year ago. Our remote accommodation segment generated revenue of approximately $1.8 million compared to $2.7 million in the same quarter a year ago. Finally, our drilling segment generated revenue of $743,000 compared to $736,000 in the same quarter a year ago. Returning to consolidated results. Our net loss from continuing operations for the second quarter was $35.7 million or a loss of $0.74 per diluted share compared to a net loss of $155.6 million or a loss of $3.24 per diluted share for the second quarter of 2024. The net loss in the second quarter of 2025 included a noncash charge of $31.7 million related to our Northern White Sand mine on the Union Pacific Railroad. As a reminder, second quarter of 2024 included charges totaling $170.7 million in relation to the settlement agreement with PREPA. Adjusted EBITDA from continuing operations, as defined and reconciled in our earnings release, was a loss of $2.8 million in the second quarter compared to a loss of $164.6 million for the second quarter of 2024. Selling, general and administrative expenses were $5.3 million in the second quarter of 2025. Looking to the back half of the year, we expect to generate an adjusted EBITDA loss from continuing operations ranging from $3 million to $4 million based on the current portfolio of assets. Further, we expect our cash burn related to discontinued operations to range from $4 million to $5 million. We plan to largely fund this from proceeds from the sale of underutilized assets. CapEx for the second quarter of 2025 was $26.9 million. This was primarily related to our targeted growth and expansion efforts within the rental services segment. Regards to our 2025 CapEx budget, we are now allocating $42 million for continuing operations, excluding acquisitions. This is primarily comprised of growth CapEx for our aviation and other equipment rental services. We will continue to monitor the uncertainty within our markets to determine potential impacts on our business and we'll adjust our spending accordingly. Additionally, we see many opportunities to strategically allocate capital to grow our existing businesses that are generating the greatest returns. As Bernie mentioned, we've identified numerous opportunities to deploy capital, specifically around equipment rentals and accommodations. We took the first step toward expanding these segments with the aviation purchases during the second quarter. There will continue to be various opportunities to invest back into our business in the near term to address demand as well as to purchase and upgrade equipment with our improved cash position. As of June 30, 2025, we had unrestricted cash on hand of approximately $127.3 million. This cash balance excludes restricted cash of $30.1 million, which would bring our total cash on hand to $157.3 million. Our revolving credit facility had a borrowing base of $75 million and we had approximately $67.5 million in available borrowing capacity after giving effect to $7.5 million of outstanding letters of credit. As of quarter end, the revolving credit facility was undrawn. Subsequent to June 30, 2025, the company entered into a letter agreement in relation to its revolving credit facility whereby the borrowing base was reduced from $75 million to $50 million. Our total liquidity as of June 30 was approximately $194.8 million. And as of today, Mammoth remains debt-free. To conclude our call, we would like to thank our employees throughout the company for their hard work, dedication and commitment to maintaining safe and sustainable work sites for themselves and their teammates. Without you, this transformation wouldn't be possible. Going forward, our priority is to further unlock value for our shareholders. We intend to accomplish this through consistent operational performance, improved efficiency and strategic and opportunistic transactions, all of which will strengthen Mammoth for the future. Over the last 3 months, we've executed multiple value-enhancing transactions that have repositioned the business, insulated our operations from volatile demand trends and made our financial results more resilient. We look forward to sharing additional developments with you in the coming quarters. We maintain a debt-free balance sheet and a significant total cash position of approximately $157 million. This further expands our deployment opportunities and we intend to utilize this dry powder to substantially invest in the company for future growth. We plan to utilize the tools at our disposal to strategically deploy capital as attractive value-enhancing opportunities present themselves. Finally, we believe our operational expertise, efficiency, strong balance sheet and ongoing actions will position Mammoth for success and propel the company into a better future. Operator, we would now like to open the call up for questions.
Operator: [Operator Instructions] Our first question is from Colby Sasso with Daniel Energy Partners.
Colby Sasso: You highlighted earlier that Mammoth had the 3 transactions in the second quarter, 2 of which were exiting the older business segments. And the third was aimed at diversifying the rental services segment, and this left you with a really strong cash position. And you had mentioned some opportunities within the rental services segment and then your accommodation services. Where do you see the growth potential for Mammoth in the next 3 to 5 years with all this dry powder?
Mark Layton: Yes. So near term, we've invested the majority of our capital in the aviation sector. And as we evaluate those opportunities, you really have to get into our mindset as to how we allocate capital. What we're targeting in the aviation sector is IRRs of 25% to 35%. And if you look at a 3- to 5-year hold at that IRR, you're looking at a 2 to 3x multiple on invested capital. So that's how we're evaluating opportunities, and we're seeing a pretty good deal flow in that particular sector right now.
Colby Sasso: That makes sense. And as a quick follow-up, can you give us a sense of how much your sand is sold domestically versus Canada? And how you see both of those markets evolving in the next 3 to 4 quarters?
Mark Layton: As we look at the split right now, we've not disclosed the split publicly, but the majority of what we've sold historically has been into Western Canada, into the Montney. And as we look forward, given what we believe is the availability of Tier 1 acreage in the Montney, we think that split will continue on a go-forward basis to be more weighted to the Montney Shale.
Operator: Our next question is from Doug Garber with Westport Alpha.
Doug Garber: I wanted to follow up on what you're seeing in the aviation market. Can you give us a little context on what's going on in that market to supply-demand imbalances? Are these niches that is allowing this kind of excess return window to be apparent for you guys?
Mark Layton: There are some -- certainly some tailwinds in that particular sector. Passenger travel has been favorable. You've seen some production delays at the big manufacturers, Boeing and Airbus. So what we're seeing is demand in that sector, both at the aircraft level, which we executed on, but we also touched in the prepared remarks about the acquisition of some engines and auxiliary power units.
Doug Garber: When I look at the stock and your cash balance or the market cap, it's below the cash balance. What are your thoughts on buybacks right now?
Mark Layton: Yes. So as you recall, the Board approved a buyback some time ago. And as you point out, we're trading below cash value and below book value. If you look at the deals we executed inside of Q2, the reality is, is that we spent the majority of that quarter in the year so far in a blackout period. So the buyback is still available to the Board. We've not been able to execute on that for one reason because of the blackout period that we've been in relative to those deals and reporting periods.
Doug Garber: Can you update us a little bit more about -- are you still in a blackout period? When does that end after earnings? And when you're around when -- when you're consistently looking at deals, are you always going to be in a blackout period?
Mark Layton: That's a good question. So to the extent we've got actionable deals, either under LOI or under consideration, then more times than not, we'll be in a blackout period. Absent some transaction like that, the blackout period generally lifts 2 full trading days after we report earnings.
Doug Garber: Got it. And last one for me. Your path to free cash flow, getting to free cash flow positive. There's a lot of moving parts here with all these transactions. Obviously, you bought more assets. I assume those will have some positive contributions. And just what's your path to get into free cash flow neutral?
Mark Layton: That's a good question. As we highlighted in the prepared remarks, the aviation deals that we've executed on have been positive contributors from day 1 on those transactions. As we look to the back half of the year, as we flagged previously, we've still got some SG&A overhang relative to some ongoing litigation from the exit of Puerto Rico. While those fees are coming down some, they will continue to exist over the coming quarters. But to kind of give you an idea of what that looks like, we're forecasting about $2 million to $2.5 million in overall SG&A legal fees relative to the run out of some of that Puerto Rico litigation in the back half of the year. So as that runs out, that's our near-term path with this particular group of assets to free cash flow. And certainly, organic growth as well as utilization will help that out as well.
Doug Garber: So if I'm understanding it when the litigation kind of dissipates, that will get you -- with the current mix, that will get you to free cash flow neutral?
Mark Layton: That's correct.
Doug Garber: Thank you for that update, and looking forward to continuing to follow the story. And you'd also talked about rentals. Is there the return opportunity there? Is that -- where does that rank compared to aviation? Can you do both? Is that -- how do you look at that market?
Mark Layton: Yes. So that -- Yes, on the construction equipment side and oil and gas-related rentals, we're seeing some opportunities to deploy capital there, and you see that year-to-date. And we flagged that, that as well as the accommodations business can also compete for capital on a go-forward basis that is near to the returns that we're seeing in the aviation space.
Doug Garber: Got it. And typically, those assets have some leverage. Are you going to do them unlevered? Or are you going to put a little bit of debt on it as you go?
Mark Layton: As we evaluate that, right now, we've got a debt-free balance sheet. We're focused on maintaining a strong balance sheet. I think as you look on a go-forward basis, it's dependent on the assets. So some assets will be better suited for leverage, and we'll continue to evaluate that structure as we deploy capital.
Doug Garber: Well, congrats on pivoting the company and looking forward to following it in the future.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to Mark Layton for any closing comments.
Mark Layton: Thank you again for joining us on the call today. We continue to focus on positioning Mammoth for future growth and unlocking value. We will achieve this through operational excellence, efficiency and strategic capital deployment. This concludes our conference call, and we look forward to speaking to you all again next quarter.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.